Operator: Welcome and thank you for standing by. At this time, all parties are in listen-only mode. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Today's call is being recorded. If you have any objections, please disconnect at this time. I would now like to turn the call over to State Auto Financial Corporation Investor Relations and Financial Director, Tara Shull.
Tara Shull: Good morning, and welcome to our First Quarter 2018 Earnings Conference Call. Today, I'm joined by our Chairman, President and CEO, Mike LaRocco; Senior Vice President and CFO, Steve English; Senior Vice President of Personal Lines, Jason Berkey; Senior Vice President of Commercial Lines and Managing Director of State Auto Labs, Kim Garland; Chief Actuarial Officer, Matt Mrozek; and Chief Investment Officer, Scott Jones. After our prepared remarks, we'll open the lines for questions. Our comments today may include forward-looking statements, which by their nature involve a number of risk factors and uncertainties, which may affect future financial performance. Such risk factors may cause actual results to differ materially from those contained in our projections or forward-looking statements. These types of factors are discussed at the end of our press release as well as in our annual and quarterly filings with the Securities and Exchange Commission. A financial packet containing reconciliations of certain non-GAAP measures, along with supplemental financial information, is available on our website, stateauto.com, under the Investors section as an attachment to the press release. Now I'll turn the call over to STFC's Chairman, President and CEO, Mike LaRocco.
Mike LaRocco: Thanks, Tara, and good morning, everybody. The last 3 years for me have been the most challenging and the most enjoyable in my career. I'm working with an amazing team, both here at State Auto and with our independent agent partners. When you're not only trying to turn around the company, but also prepared for future unprecedented change, there are many ups and downs throughout the process. The key is great execution, focus, patience and speed. As I look back on the last 3 years and all the hard work, I know that our first quarter of 2018 is the clearest indication yet that our efforts are working. Is the turnaround phase complete? No, not until we are both profitable and growing. But this past quarter announces to all that we are indeed back. Early on, we knew that our vision was to be in product lines where we could leverage data, analytics, product management and technology. That led to our decision to exit lines of business that did not align with that focus. At the end of the first quarter, that work to become a more focused and aligned company is nearly complete. We have now finalized agreements on all the E&S lines of business, except property, which we began non-renewing last November. Again, these strategic decisions were critical as those products did not align with our view of the future focused matters. For ongoing lines of business, personal, small and we mid-market commercial, workers' compensation and farm and ranch, we made significant progress in both profit and growth. The personal and commercial segments produced a statutory combined ratio of 101.4, which is 6.5 points better than a year ago, and our new written premiums grew by 15.5%. The loss ratio trends across most of our ongoing lines are very good. We not only continue to aggressively take rate, but we continue to focus that rate on the coverages and segments that are driving our loss cost trends. In addition, our care organization has increased their efficiency across all aspects of claims handling. We believe their efforts to reduce loss leakage is also a key factor in our drive to reduce loss ratios and become profitable in every line of business. Our current accident year loss ratio for personal auto reflects our decision to be cautious and conservative as we reserve. We are still seeing positive severity trends especially in BI. However, we are writing a lot of new business and simply believe we should be prudent as this business develops. Growth has been outstanding in personal lines. After many years of declining policies in force, we are going again. Our digital platform has been accepted and embraced by our partners. We are unique in the industry as a digital-only writer of personal and commercial products through intermediated distribution. The uniqueness itself is a positive, but more importantly, I believe our platform is industry-leading and will only get better. While we are not yet growing commercial auto policy basis, our platform is still rolling out and I anticipate a growth trajectory in commercial similar to what we have seen in personal lines. In our middle market commercial, we have clearly turned the corner and are seeing some nice premium growth, a more appropriate measure of growth in this line. Workers' compensation continues to perform well as we remain focused on disciplined pricing in our aggressive return to work claims handling. Farm and ranch had a solid quarter with continued growth and improving loss trends. Finally, we continue to focus on expenses. We know this is critical to our long-term success and we have a plan to reach competitive expense ratios. However, we also know that we cannot win over the long term without continued investment in technology. The industry will go through massive change in the next few years and companies who do not invest in platforms that can adapt to that change will simply not succeed. We are in this for the long term and we'll make decisions on tech investments that reflect that long-term view. We will continue to diligently focus on every dollar spent. We'll also continue to benefit from growth, as we can now grow with very limited additional expense due to the efficiency of the new digital platform. I am confident we can achieve profitable combined ratios, while still investing in ongoing technology improvements. With that, I'll turn it over to Mr. English.
Steve English: Thanks, Mike. Good morning, everyone. Although not material to our previously issued financial statements, I will open up today commenting on our discovery this quarter that DAC, primarily for commercial lines, has been overstated dating back to 2015, as a result of using incorrect data and the development of our DAC factors. The cumulative correction is $5.9 million after tax, as of December 31, 2017. Accordingly, prior period amounts throughout our press release and investor packet have been adjusted to incorporate revised amounts for DAC and other previously uncorrected adjustments, where applicable. These corrections as well as reconciliations of previously filed prior period amounts to restated prior period amounts will be included in the financial statement footnotes of our first quarter Form 10-Q, which we expect to file tomorrow. Restated stockholders' equity as of December 31, 2017, is $875 million with book value per share restated to $20.63. Previously reported book value per share for December 31, 2017, was $20.76. Moving on to this quarter. We reported a net loss per share of $0.05, which included the impact of new accounting pronouncement ASU 2016-01, which requires the change in unrealized gains and losses on equity securities to be reported in net income rather in other comprehensive income. Over the quarter, unrealized investment losses of $15.3 million has been included in the caption, net investment gains and losses, on the income statement. For non-GAAP operating earnings, we have excluded the impact of net investment gains and losses, net of tax as we believe this more accurately reflects the operating performance of our company. Also in connection with the adoption of this new standard, we reclassified $60.8 million from accumulated other comprehensive income to retained earnings as of January 1, 2018, which had no impact on total stockholders' equity or book value per share. For the quarter, book value per share finished at $19.90, as compared to the restated December 31, 2017 book value per share of $20.63 due to lower valuations of fixed maturities, equity securities and other invested assets.The GAAP combined ratio of 102.6 improved compared to 108.7 from the first quarter of 2017. On a statutory basis, our first segment was profitable with the 97.9 combined ratio. Homeowners was profitable in quarter while personal auto improved over a year ago. Also on the statutory basis, commercial lines was flat with combined ratio of 106.1, commercial auto, workers' compensation and farm and ranch all had statutory combined ratio of less than 100. Our combined statutory results for personal and commercial insurance, our ongoing lines of business improved over a year ago, finishing at 101.4. Favorable prior year development of non-GAAP loss and daily reserves amounted to $16 million or 5.1 loss ratio points. This compares to the first quarter of 2017, which reported $4.8 million of favorable prior year development or 1.5 loss ratio points. This quarter continues a stream of 6 consecutive quarters of reporting overall favorable prior year reserve development with this quarter slightly more than half coming from commercial lines and the balance from personal lines.Specialty reported $0.3 million of adverse prior year development. Personal auto developed favorable by $4 million, primarily from 2016 and 2017. Homeowners also developed one in the quarter. A year ago, in the quarter, homeowners developed adverse due to an unexpected development on 3 large fire losses occurring late in 2016. Commercial lines continued to develop favorable, overall totaling an improved $9.7 million compared to a year ago at $7.6 million. Focusing on our accident year non-cat loss and ALAE ratio for personal and commercial on a statutory basis, the first quarter of 2018 ratio of 62.9 compared to 56 to a year ago. Commenting on some of the product lines.As Mike mentioned, we selected a personal auto loss ratio of higher than first quarter a year ago, and slightly higher than the full year 2017 loss ratio as evaluated at December 31, 2017. This is reflective of new business growth in this line and recognizes the increasing personal, auto, bodily injury liability loss cost for the past couple of years. Property lines and personal and commercial suffered from non-cat weather losses from freezing and water claims as well as higher levels of fire losses. Commercial auto improved from a year ago, as did workers' compensation. Finally, an update on exiting specialty. As we've discussed, the specialty operation is almost in full runoff now. There are only 2 products, both within E&S casualty, writing any meaningful amount of business. One of those, our umbrella business, which we closed last week on a renewal rights transaction will cease writing in the second quarter. For the other, effective March 1, 2018, we entered into a 1 year 100% quota share reinsurance agreement feeding the business to a panel of reinsurers while the team under new ownership arranges replacement primary paper. We've closed on all the transactions and transitioned most of the specialty employees to new companies. The remaining employees are responsible for the runoff for the remaining business with oversight from the State Auto home office. The quarter-to-date loss ratio was 74.3%, down 2.1 points from the same period last year. Because the volumes are shrinking, we're taking a conservative approach on the current accident year results. Our focus will be monitoring the primary accident years and ensuring that we are reserved appropriately. Prior year accident losses were up just $300,000 this quarter, as I mentioned previously. Specialty operating ratios will quickly become not meaningful as the business winds down. As we discussed last quarter, written premium will drop off quickly followed by earned premium. Here is an update of our earned premium expectations by product line. For E&S property, which has been in runoff beginning late last year, we expect earned premium for the second quarter to be $3 million, followed by $1 million and $0.5 million. For E&S casualty, the quarterly earned premiums are expected to be $19 million, $15 million and $10 million. For programs, $6 million, $2 million and $0.45 million. And with that, I'll turn the call over to Jason.
Jason Berkey: Thanks, Steve, and good morning, everyone. While work still remains to fully restore our personal lines profitability, I'm pleased to report that this is the second quarter in a row that personal lines has achieved a combined ratio below 100%. The personal lines loss and LAE ratio was 67.3% for the quarter with a statutory combined ratio of 97.9% compared to 78.2% and 109.2%, respectively, in first quarter of '17. We continue to take targeted rate actions and press for claims operational improvement on our path to fully achieving our target combined ratios in each product. Those rate actions have put pressure on our retention, which is lower than it was a year ago, although we've seen some flattening of our retention in recent months. While improving profitability is the highest priority, we continue to see promising signs of growth in written premium, which grew 22.4% in the quarter and policies in force, which increased 1.7% in the quarter for personal lines. The new business lift from the new digital product rollout continues to increase each month and will continue to help offset the pressure on PIF from the lower retention. Turning now to personal auto results specifically. The statutory auto loss and LAE ratio was 72.6% for the quarter with a statutory combined ratio of 101% compared to a 76.6% and 105.3%, respectively, in first quarter of 2017. We continue to take targeted aggressive rate actions in personal auto and to press for claims operational improvements. In 2017, we made 50 personal auto rate changes into our 28 states with an average rate increase of 13.6%. The result is that the average written premium per policy in March 2018 is 19.1% higher than March 2017 and the average earned premium per policy is 13.3% higher. In the first quarter of 2018, we made 27 rate changes with an average rate increase of 7.4%. Subject to department of insurance approval in various states, we have 24 rate changes in the pipeline with an average rate increase of 7.9% in the second quarter of 2018. Included in the second quarter rate changes is a 16% increase in our bodily injury liability rates. In recent quarters, we've discussed the operational changes in our care organization. In this quarter, we saw loss cost trends generally improving on this front with the exception of bodily injury. As our bodily injury accident year loss cost trends remain high. The operational changes in the claims organization take longer to affect bodily injury loss cost trends for many reasons, including the longer claim settlement period for bodily injury claims. To understand the improvement in our profitability, we closely watch the rate of increase in premium versus the rate of increase of our loss costs. In first quarter of 2018, the change in 12-month rolling earned premium per vehicle was roughly the same as the change in our annual loss cost, Therefore, in first quarter '18, less progress was made towards restoring personal auto profitability than anticipated. In the coming quarters, as continued aggressive rate actions earn in and as claims operational improvements are realized, the change in earned premium will exceed the change in our loss cost trend. However, we expect further significant bodily injury rate actions will be necessary to address the high level of loss cost trend being seen in that coverage. At the same time, we continue to see growth in personal auto. Starting in September 2017 and continuing through the first quarter, personal auto policies in force have increased for 7 straight months. This is the first time our PIF has grown in several years, and in April of 2018, we became PIF-positive on a year-over-year basis, a critical step on the path to profitable growth. In financial terms, our personal auto performance is as follows: first quarter net written premium for personal auto is up 23.4% versus first quarter of '17, the seventh consecutive quarter of personal auto net written premium growth; quotes are up 72.5% over first quarter of '17; new business accounts are up 142.3% over first quarter '17; PIF increased 1.8% over fourth quarter '17, although first quarter PIF is 0.3% below first quarter '17. And in more recent observation at the end of April, 2018, the PIF was 1% above the April 2017 PIF from a year prior. Our retention is lower at 73.3% from March 2018 versus the 80.6% retention observed in March 2017. Most recently in April 2018, our retention was 73.1%, which demonstrates my point that we are starting to see a flattening of the downward trend in retention. Moving onto homeowners, where the story continues to be positive. Looking at homeowners growth in the quarter, policies in force increased with the homeowners PIF increasing by 4.4% over first quarter of '17. Homeowners is also experiencing a new business lift from the launch of our digital product. Homeowners quotes are up approximately 60% over first quarter of '17. New business accounts are up approximately 150% over first quarter '17, while the March 2018 retention of 79.2% is down from the 81.8% observed in March 2017. In financial terms, our homeowners performance is as follows: first quarter 2018 homeowners net written premium increased 20% versus first quarter of '17; the first quarter loss in and LAE ratio was 59.3% with a combined ratio of 92.9%; the homeowners cat loss and ALAE ratio for first quarter '18 was 8.2 points, which is 24.3 points lower than the first quarter '17 homeowners cat loss and ALAE ratio of 32.5 points. This is primarily due to the severe weather last year in first year '17 related to warmer than average temperatures. Conversely, the first quarter '18 non-cat loss and ALAE ratio was 3 points higher than in first quarter '17, primarily due to non-cat claims from freezing pipes and large fire losses with the colder-than-average temperatures experienced in first quarter of 2018. We continue to see higher non-weather homeowner severity trends and expect to continue to increase homeowners' rates in 2018 to maintain rate adequacy. In conclusion, our personal lines storyline for the quarter can be summarized into 3 themes: First, significant rate actions to restore our personal auto profitability continue, especially on our bodily injury coverage. These rate increases will continue to place pressure on both auto and home retention for the next several quarters. Second, we continue to experience a significant increase in new business in the states where we've launched our new digital product. The higher level of new business has resulted in an increase in our personal lines PIF on a year-over-year basis. And third, the combination of increasing PIF and an increasing rate level resulted in more than 20% increase in personal lines written premium in the first quarter. With that, I'll turn the call over to Kim Garland to discuss commercial lines results.
Kim Garland: Thanks, Jason. The commercial business results are as follows. For 1Q '18, combined ratio of 106.1 versus 106.0 in 1Q '17 and 1Q '18 written premium increase of 7.4% versus 1Q '17. For the commercial business as a whole, the story is, the statutory non-cat loss and ALAE ratio was 3.4 points higher in 1Q '18 versus 1Q '17, driven by property-related higher non-cat weather losses as we experienced higher weather-related freeze claims and large fire losses when compared to 1Q '17. While commercial loss ratios are generally where we need them to be, commercial expense ratios are not and our biggest inhibitor to overall profitability. The 1Q '18, statutory commercial expense ratio of 40.7% was 1.4 points higher than the 1Q '17, as the expense of the investment in the Connect platform begins to hit in advance of the growth impact of Connect. But the launch of Connect in commercial lines will be driver for reducing commercial expense ratios over the medium to long term. We are currently in 13 states for our BOP and commercial auto and continue to be on track to launch 6 more states in 2Q '18 and the remainder of the states by the end of 2018. Here are some of the early results from Connect. Our Straight Through Processing ratios and unit costs per quotes continue to look good. Agency feedback on the new system is extremely positive. Commercial auto new business production is up, BOP new business production is down. From our first few months in the market, we have identified pricing model changes to make and these will be implemented for BOP in the May release states. Our experience with the small commercial Connect launch is closely following our experience with the personal lines Connect launch, which gives us confidence on the future trajectory of these product lines. The commercial business results by product line are as follows: Our focus on the loss and LAE results for each product line as the acquisition and operating expense ratios for every product line are poor as previously noted. Commercial auto, the commercial auto loss and LAE ratio in 1Q '18 is 54.6%, which is a 19.1 point improvement versus the 73.7% in 1Q '17 as the profitability actions of the last 3 years continue to show up in our loss ratio results. Commercial auto written premium in 1Q '18 was up 1.2% versus 1Q '17. This increase after a couple of years of decreases is significant. We are exiting the shrinking phase of profitability restoration and the launch of Connect is starting, is the starting of our growth phase at an acceptable loss ratio in commercial auto. Small commercial package. The small commercial package statutory loss and LAE ratio in 1Q '18 is 72.8%, which is a 13 point deterioration versus the 59.8% in 1Q '17. This increase in loss ratio was primarily property-related as we experienced higher weather-related freeze claims and large fire losses when compared to 1Q '17. Small commercial package written premium in 1Q '18 was down 0.2% versus 1Q '17. Early BOP new business volumes in Connect state have not increased. We have identified some pricing cells where we are less competitive than we wanted to be. Updates to the BOP pricing model will be implemented with the May states, along with additional pricing segmentation improvements over the summer. And we expect Connect BOP new business to meaningfully increase with these changes. Middle market commercial. The middle market statutory loss and LAE ratio in 1Q '18 is 67.7%, which is 12.7 points lower than the 80.4% in 1Q '17, but is still higher than our loss and LAE target ratio for this line. As in small commercial, this higher than target loss ratio was primarily property-related as we experienced higher weather-related freeze claims and large fire losses when compared to 1Q '17. Middle market written premium in 1Q '18 was up 11.2% versus 1Q '17. As Connect rolled out in small commercial, it is freeing up time for our commercial underwriters to focus on middle market commercial. Our growth path for middle market is very clear and exciting as additional small commercial Connect states roll out even more of our commercial underwriters' time will be available to focus on middle market. And when CPP is launched on Connect, it will make our team even more productive. The first signs of this started to show up in 1Q '18 as our middle market new business premium was up 29% over 1Q '17 while our middle market field headcount has declined 25 FTEs or 9% over the last 6 months. We're incredibly excited about our potential in middle market. Workers' compensation. The workers' compensation statutory loss and LAE ratio in 1Q 2018 is 66%, which is 3.2 points lower than the 69.2% in 1Q 2017. Our entire workers' compensation team continues to show a high level of discipline in execution during this phase of the market cycle. Workers' compensation written premium in 1Q 2018 was up 12.6% versus 1Q 2017. This was driven by a significant swing in auto premium. Farm and ranch. 2017 was a disappointing year for our farm and ranch business, but 2018 has gotten off to a better start, although 1 quarter a year does not make. The farm and ranch loss and LAE ratio in 1Q '18 is 42.8%, which is 27.3 points lower than the 70.1% in 1Q '17. With the product line of this size, quarterly results will jump around. The important item to note is that our farm and ranch team reacted quickly last year to the poor results and has been taking significant rate actions both in our farm and ranch and farm auto products. Farm and ranch written premium in 1Q '18 was up 16.2% versus 1Q '17. In summary, the state of our commercial business is loss and LAE ratios are generally where they need to be. The successful launch of the Connect will be the catalyst for both growth and reducing our expense ratio over the next several years. With that, we'll open the line for questions
Operator: [Operator Instructions] Your first question is from the line of Christopher Campbell with KBW.
Christopher Campbell: Yes, hi, good morning. I mean, it sounds like you made a lot of traction kind of improving the personal lines and commercial. And then with the specialty exit, how are you viewing your scale in personal and commercial lines? And would you consider like maybe inorganic growth, renewal rights or something to kind of increase that scale and lower your expenses?
Mike LaRocco: Chris, this question of scale, I think, is very different today than maybe it has been in the past, and certainly different for us given the quality of the uniqueness of our platform and the way we do business. The digital platform gives us the opportunity to very efficiently grow the business. We certainly would love to have even more scale because the more we add onto it, the more efficient we become. But I really would prefer organic growth. I think if you look at the fact that in a few years, we will be a completely digital company, not only for new customers, but for in-force customers. We never say never as far as looking at other renewal rights opportunities or other potential deals. But the reality is that, we have so much opportunity organically to grow. We're kind of a temple on an elephant's backside right now in terms of our -- the penetration of states that we're in today. So I think, our upside opportunity to grow in the states we're in and then potentially in a number of states that we're not in. We like the way we do business. We think the fact that its uniqueness gives us a significant advantage. And again, I never say never, but I'm not sure there is a lot out there that would do anything, but create more challenges for us in terms of converting the business. So we really like our prospects of pretty significant organic growth.
Christopher Campbell: And then where do you see those biggest -- where do see the most opportunity on the organic side? Like is it geography, is it in product line? Where you're kind of focused?
Mike LaRocco: Yes. I think there's 3 levers of growth. There's product, geography and distribution, and we've got opportunities in all 3, very quickly. If you think about our product opportunity, prior to being digital -- everybody thinks about our digital as just the technology play, when in effect, it gave us the opportunity to create better, more opportunity across our products, meaning that because our old legacy models -- on the old legacy platforms were pretty -- were not really good, were not very sophisticated pricing models, we tried to control the volume by saying we want to limit by underwriting guidelines of what we would write. Now that we've got these sophisticated pricing models on top of our digital platform, it gives us a wider scope of customers.The other product benefit, of course, is that we can introduce sensor-based products like telematics, which is now getting close to 30% of our new auto business. Kim and the commercial team are starting to see growth in commercial telematics. We have smartphone discounts. We're doing some interesting things with sensor-based stuff on the commercial side. Then secondly is the geography. I've already mentioned that just within the states we're in because our market -- if you look at our penetration by state, we're really pretty small even in states like Ohio and Texas where we're doing really well.So there's upside potential there. Is there the potential down the road for geographic expansion? Absolutely. Because the way we have built our platform, we can extend into states in a much more efficient and effective way than the bad old days where you had to knock on doors and try to find opportunities to sell your product. And then the third one is distribution. Again because our old platform had limitations in terms of the quality of the product itself, we also tried to limit our distributors so they can help and "protect us." Agents and the distribution plays -- intermediated distribution is changing dramatically. We now have these networked or aggregated agencies, umbrella-type agencies. We had stayed away from them in the past because, again, we were -- wanted to kind of control our distribution partners. We've been able to very successfully become part of those organizations, sync organizations like Keystone, SIAA, Smart Choice and many, many others. And then there's the fastest-growing part of distribution, which are these intermediated models that are folks like compare.com, Answer Financial and many others, Goji, who are really growing in the intermediated distribution play. We never would've thought of getting on those platforms. Now we've embraced them fully. So if you think about each of those 3 levers of growth, we've got upside to pull every single one of those levers. So I think our opportunity to grow is significant. To me, the issue is making sure that we're profitable first and that we're as efficient as we can be on the expense side. I'm very optimistic on the growth side.
Christopher Campbell: Okay. Well, thanks for all the color.
Mike LaRocco: Thanks, Chris.
Operator: And your next question is from Larry Greenberg with Janney.
Larry Greenberg: Good morning. So just to focus on personal auto a little bit, although some of this probably applies to commercial auto too, you guys have taken a lot of rate and the underlying loss picks just haven't moved a whole lot. And you mentioned you want to be conservative on loss picks and clearly that would appear to be the prudent thing. But I'm just wondering, if you could give us a little bit more color on that? And is part of it a new business penalty? Or is the stuff that you're losing really good business that is having an impact? And then just from a timing standpoint, what do you need to see to start believing that the favorable development really is reflective of better underlying results?
Mike LaRocco: Let me begin and then Jason and Kim can weigh in. First of all, there is no question that we believe it's a prudent decision to take a more conservative view. We are, one, we're writing a lot of new business. Is there a typically new business penalty? Yes. Do we feel that with the changing in the models that we have and the fact that 30% of our business is telematics, and some of that new business penalty is moderated? Yes, we believe that as well. So the new business though does cause us to want to be, as you suggest, as prudent as we can be, that's really important. Second thing is that we obviously continue to see BI severities that have moderated, but are still higher than we believe they should be and we're being very careful about the bodily injury severities. On the other side of that, what you said about the business that we've looked very, very carefully at the business on the legacy platform that we've lost. We feel very comfortable that it's not, we're not losing better customers or customers that were producing better loss ratios. That's not really a concern of ours in any way, shape or form. In terms of timing and what we need to see, we have a lot of good things happening behind the scenes here. Obviously, I'm not going to go into everything in a ton of detail, but our care organization, we've known from the beginning that we had loss leakage across the claims organization. We've talked about that. On the physical damage side, you see the return of the efforts that our much improved claims organization has provided. Those come back to you very quickly. You can see it in our rental days. You can see it in OEM parts versus like-kind quality parts, et cetera, et cetera. On the bodily injury side, it just takes a little longer to see that. You're making sure your cycle times are reduced, you're getting involved quite a bit earlier in the process. You're limiting law firms that you deal with. You're improving the quality of negotiation that you do. All of those changes, we believe will feed through. So I don't put a specific number of quarters on it, Larry, before I would say our picks are going to reflect that. But I tell you what, it's more than one, which is really what this kind of reflects is that this is still early in the process and we just want to be thoughtful about it, to be very candid with you. I feel good if that matters, but we would rather earn our way to lower pick and just do the right thing and be thoughtful about it. Jason, you want to add to this?
Jason Berkey: Yes, I would just reiterate that the current accident years is still largely dominated by our legacy book in terms of earned premium and loss ratio driver. So -- and as Mike suggested, we've looked closely at the business that we've lost due to the profitability actions and we feel comfortable, there's nothing out of the ordinary there. And in terms of trends that we need to see going forward, it's really that the actions that our care organization has taken really improved our BI frequency trend. And that's where we watch most closely at this stage. Severity trend, we think we're kind of where everybody else in the industry is. We need the BI frequency trend to kind of land closer to where we're hearing others are in the industry.
Mike LaRocco: Kim, anything on commercial or otherwise?
Kim Garland: No, I guess, I would just probably chime in a little bit on personal lines also for piling on. I think one of the things where we believe we are doing the right thing is especially important to try and get eyes on bodily injury claims as soon as you can, right? And so I think we -- our organization, our care organization has spent time trying to make sure we look at more stuff, look at it earlier so that we sort of make sure we have a handle on it. When you make those type of changes in your claims organization, it changes some of your sort of historical patterns. And so I believe one of our philosophies is to be sort of conservative, right? And so when you write a lot of new business, it tends to skew you conservative. If you see a change in historical patterns it tends to skew you conservative. And it just -- all that stuff to every quarter more that earns in and you see what the reality is. I think -- and Tara will correct me if I get this wrong, but I think, for personal auto last 4 quarters, the combined ratio has gotten little bit better each quarter. I think you'll probably see more sort of continuous gradual improvement than not being jump all of a sudden would be my take.
Lawrence Greenberg: Thank you. And then just do you have an all-in number for what non-cat weather was for the quarter?
Michael LaRocco: I think, the answer is no. Tara, can you -- can we get that together. Tara will follow up with you, Larry, on Larry on that one.
Lawrence Greenberg: Okay, thanks.
Mike LaRocco: You bet.
Operator: [Operator Instructions] Your next question is from Paul Newson with Sandler O'Neill.
Paul Newsome: Good morning, guys. I think, we're all kind of trying to go after same question here, which is, I'm not trying to again -- is there a way for us as outsiders to see what sort of profitability the new platform is running at versus the old? And is that new platform running at, kind of, targeted rates, I think, Larry, obviously has asked you about the tenure effect, which could be reducing that profitability that you've got. So I mean, anything you can kind of give us directionally that tells us other than the incremental improvement? What that new platform business is, kind, of running at would be, I think, really helpful.
Mike LaRocco: Yes, Paul, as it develops a little bit further, we'll look at sharing how the new business is performing. It's a little too early to do that because the -- our earned premiums are still too low to really make that number have any real value. I can tell you that just kind of generally speaking on a qualitative basis where we feel that the business that we're writing looks good from a standpoint of -- we look at everything in terms of age, gender, years on the road, the types of vehicles, multi-policy -- excuse me, multicar versus single car, so on and so forth. And if you look at all the characteristics that you would think more traditionally about credit score, so on and so forth, that feels good, again the fact that nearly 30% is coming in on telematics. And I can tell you that our early look at the telematics, we give -- generally speaking, we give a 10% discount on telematics. I can tell you that the vast majority of those customers deserve that or more. So that would give you another little insight look at things. But in terms of loss ratios, it's just too soon. And as that develops, we're very transparent company. So we want you to have a look at how we're doing in that space. But again, the other side of that is that if it doesn't have credibility, it just doesn't make sense to share that with you. So it's too soon, but we'll see. And the other thing, last thing I'd say about the new business is, we're also -- as we -- the one thing about the digital platform, it gives us the opportunity to tweak it, get better. We're really kind of a technology company. You wouldn't have known that when our phone dropped, but we're really kind of a technology company that sells insurance now and we're updating our platform regularly as we need. We make adjustments to the pricing models, including the new ones. So we have a very early look at how things are performing and we're much better suited today to react even on a segment that's not performing the way we want to move very quickly. So high level one last time, is if you look at it from a kind of traditional characteristic standpoint, we're getting what we would have expected. The telematics piece is very, very encouraging to us. We're watching it carefully and adjusting both the model and rates very quickly to adjust to that. Anybody want to add anything, Kim?
Kim Garland: So I guess, the only other thing I would add is, the new product is available on these sort of like platform agencies that Mike speaks about, and so we get a lot of competitiveness information so we get insight into are we in the market too high, too low. And in the early days, when your loss data is not credible, we look at that as much as anything to try and make sure that we're generally in the right ballpark.
Paul Newson: Okay. Thank you very much.
Mike LaRocco: Thanks, Paul.
Operator: We have no further questions at this time.
Tara Shull: Thank you, everyone, for your questions. We want to thank all of you for participating in our conference call and for your continued interest and the support of State Auto Financial Corporation. We look forward to speaking with you again on our second quarter earnings call, which is currently scheduled for Thursday, August 2, 2018. Thank you, and have a good day.
Mike LaRocco: Thanks, everybody.
Operator: Thank you. That concludes today's first quarter 2018 earnings conference call. Thank you for participating. You may now disconnect.